Operator: Good day, and thank you for standing by. Welcome to the Gevo, Inc. Third Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during the session, you'll need to press star 11 on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star 11 again. Please be advised that today's conference is being recorded. I would now like to turn the conference over to your speaker for today, Eric Frey, Vice President of Finance and Strategy. Eric, you may begin.
Eric Frey: Good afternoon, everyone, and thank you for joining us on today's call to discuss Gevo's Third Quarter 2025 Results. I'm Eric Frey, president of finance and strategy at Gevo. With me today, we have Patrick Gruber, our chief executive officer, Oluwagbemileke Agiri, our chief financial officer, Chris Ryan, our president and chief operating officer, and Paul Bloom, our chief business officer. Earlier today, we issued a press release that outlines our third quarter 2025 results and some of the topics we plan to discuss. A copy of the press release is available on our website at www.gevo.com. Please be advised that our remarks today, including answers to your questions, contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks and uncertainties that could cause actual results to be materially different from those currently anticipated. Those statements include projections about the timing, development, engineering, financing, and construction of our alcohol to jet projects, our future carbon credit sales, our Gevo North Dakota and RNG plants, and other activities described in our filings with the Securities and Exchange Commission, which are incorporated by reference. We disclaim any obligation to update these forward-looking statements. In addition, we may provide certain non-GAAP financial information on this call. The relevant definitions and non-GAAP reconciliations may be found in our earnings release, which can be found on our website at www.gevo.com in the investor relations section. Following the prepared remarks, we'll open the call for questions. I'd like to remind everyone that this conference call is open to the media, and we're providing a simultaneous webcast to the public. A replay of this call and other past events will be available via the company's Investor Relations page at www.gevo.com. I'd now like to turn the call over to CEO of Gevo, Patrick Gruber. Pat?
Patrick Gruber: Thanks, Eric. What a change we've had. The acquisition of our ethanol plant, carbon capture plant, and class six sequestration well is turning out even better than we imagined. All of this is located at Gevo, North Dakota, or GND as we refer to it internally, and it's all operating really well. We learned that our carbon sequestration well is unusual because, a, it has a class six sequestration well that's been operating since June 2022. B, we are the only ones using the formation of our well, and that simplifies the auditing as such. And c, it's in an unusually good geology. In fact, a European certification group, Pure Earth, which is owned primarily by Nasdaq, certified our well as a thousand-year performance well. We understand that we're the only alcohol site in the world so far with this certification. Also, I must say that North Dakota is an outstanding state in which to do business and grow. It's pro-agriculture and pro-energy business environment, so we fit in really well. Great assets combined with a great business environment combined with growing markets, I believe, leads to great opportunities for growth and making money. That's what's in front of us. At Gevo, we have long believed that carbon is an important coproduct that if we can monetize the value for carbon, we can unlock economics for growth products like jet fuel. We are pleased to find out that we can, in fact, monetize carbon value through a variety of methods that Paul Bloom, our chief business officer, will explain in a few minutes. In our business model, we view selling carbon as a key initiative. On a separate and unrelated front, we are learning how to generate and sell production tax credits. These credits are based on the volume of ethanol produced and the carbon intensity score of that ethanol. Because we have a very efficient ethanol plant, with a carbon capture and sequestration well beneath it, we can achieve very low CI scores utilizing the rules of section 45Z of the one big beautiful bill.
Oluwagbemileke Agiri: Like, Yagiri, our CFO, will give more color on this topic in a few minutes, but I can't hold back. I am just so pleased that we sold all of our credits for 2025 production for a total of $52 million worth of credits. I gotta say, we had a lot of learning to do about this too. Lots of auditing, lawyers, insurance people to make these deals as bulletproof as possible. When we start adding up the potential adjusted EBITDA from selling carbon, generating tax credits, making more ethanol, using more of the well, we can see a picture for GND where we could potentially generate more than $100 million a year of adjusted EBITDA just from that site. Get this. This is all without deploying any large capital projects or building a jet fuel plant. Now the question is how best to go about it. Obviously, we're gonna go for the low-hanging fruit first, like incremental expansions of CO2 volume. Through my incremental ethanol expansion. And by optimizing which markets we place our carbon credit products in. It's all pretty exciting. Haven't seen our recent investor deck, please go take a look at it. It spells out more clearly what we're thinking. When we meet with investors and they see what we're doing at GND, they suggest that we should figure out how to use more of the well, produce more ethanol. To improve the adjusted EBITDA base. And then, of course, get on with getting the jet plant built. GND provides an outstanding platform from which to grow. It's obvious when people see what we're doing. GND does, in fact, present a great site to build a jet fuel plant. We have ethanol feedstock, great farmers to supply the ethanol plant, carbon sequestration, an industrial complex that's already built. And so now adding a jet fuel plant is incremental. It makes a lot of sense. When we look forward, we think that adding a 30 million gallon jet fuel plant would add an additional adjusted EBITDA uplift of about $150 million to the site.
Operator: Think of that.
Patrick Gruber: We recently were notified by the Department of Energy that they consider shifting their loan guarantee to Gevo North Dakota from South Dakota. I suspect they see the same things we do. Infrastructure already exists, The plants that are there make money. And we can build upon that. And we'll be working with them to sort it all out, taking advantage of what we learned from our ATJ 60 project. I hope to get the financing for the ATJ 30 plan closed sometime mid-2026. Chris Ryan, our president and chief operating officer, will talk about the operations of GND and our RNG facility, then give an update on where we are, with the ATJ 30 project giving color to the growth plan and cost. Okay. I've talked enough. I'll turn it over to my team. Leike.
Oluwagbemileke Agiri: Thanks, Pat. We are pleased to have delivered another quarter of improved financial performance. Now here are the numbers. We ended the quarter with $108 million in cash, cash equivalents, restricted cash. During the quarter, combined operating revenue, interest, and investment income was $43.6 million. Our loss from operations was $3.7 million, and our non-GAAP adjusted EBITDA was a positive $6.6 million. Gevo North Dakota generated income from operations of $4.3 million, and a positive non-GAAP adjusted EBITDA of $17.8 million. Gevo RNG generated income from operations of $500,000, and positive non-GAAP adjusted EBITDA of $2.7 million. Net loss per share attributable to Gevo was 3¢ per share for the third quarter. Just as a reminder to everyone, last year, third quarter revenue was approximately $2 million, This year's third quarter revenue was approximately $43 million. Or an increase of approximately $41 million. Last year, our third quarter adjusted EBITDA was approximately negative $16.7 million. This year, third quarter adjusted EBITDA was approximately $6.6 million. Or an increase of approximately $23 million. A key driver for improved financial performance can continues to be Gevo North Dakota. Which is now a core earnings engine for us. This site is demonstrating reliable energy production, efficient carbon capture, and consistent monetization of clean fuel production credits, or section 45Z tax credits which are based on production volumes, we generate and carbon intensity score. We're also successfully selling voluntary carbon credits to customers who value verified carbon removal. After the end of the quarter, we completed a sale of our remaining 2025 section 45Z clean fuel production credits from Gevo, North Dakota bringing our total contracted sale for the year to $52 million of credit. We also received net proceeds of approximately $29 million so far. We expect to bring in the rest of the cash over the next quarter or two. We just need to get our carbon into the ground first. We generate production tax credit based on two key metrics. Our production volumes and our carbon intensity score. Our score reflects how we manage energy usage at our plants, the amount of cargo we sequestered, and other operational factors as measured under the section 45Z methodology. In order to deliver the credit to customers and bring the associated cash in, we need to generate the credits first. However, when we produce the gallon of ethanol, the value of the related credit is applied to our cost of goods sold. So this creates a timing difference between what we see on the income split versus when the cash comes in. One way to think of it is that our cash from operations can temporarily lag our adjusted EBITDA performance. We view this as a normal aspect of the tax credit monetization cycle. As we move forward, we expect our operating cash flows to normalize and trend towards breakeven or better in the coming quarters. An additional point I can't forget to mention, and it's important, is our tax credit sales continue to be backed by a tax insurance policy which mitigates much of the residual risk. Of this credit transfer transaction. Taken together, these steps positive adjusted EBITDA generation, recurring monetization of 45Z tax credit, and a credible pathway to breakeven operating cash flow. Positions us for steadily improving cash generation and financial flexibility. Now I will hand it over to Paul. Paul?
Paul Bloom: Thanks, Lincoln. One of the most exciting parts of our progress this year is how we're capturing and optimizing the value of our carbon dioxide coproduct is approximately 165,000 tons per year, that we are sequestering at our CCS site in North Dakota. During Q3, roughly 90% of all the carbon benefits associated with our CO2 sequestration remained attached to ethanol gallons and were sold into low carbon fuel markets. We are seeing strong values in select low carbon fuel markets, and look to take advantage of those where we have active pathways that include CCS. Going forward, we are applying for more pathway approvals in low carbon fuel markets that include CCS, allowing Gevo optionality to target those markets with the highest returns. More importantly, we are expanding the portion of our carbon value derived from CCS that we separate from the fuel and sell into the carbon dioxide removal or CDR credit markets. Our recent $26 million five-year agreement with BioRecro for carbon dioxide removal credits is a prime example of this growth. In addition, earlier this year, we were featured in Nasdaq's corporate sustainability report as one of their suppliers of high integrity, durable carbon dioxide removal credits. This is great recognition and we believe it shows that major corporations are looking for the high integrity carbon removal credits that Gevo can provide. We think the high durability and quality of our carbon dioxide removal credits are critical components of the credit value and market acceptance. We anticipate our CDR sales will continue to grow from $1 million in the second quarter to 3 to $5 million by the 2025. We expect this business to keep growing in years to come. Backed by a combination of spot sales and multiyear agreements. Our CDR credits are certified under the PURAL EARTH standard, which we believe is becoming one of the leading frameworks for corporate buyers. When you buy our carbon credits, the CO2 has already been verified as being sequestered over a mile underground in the appropriate geological formation where it mineralizes over time and is rated to remain secure for at least a thousand years. We also believe our ability to produce high integrity credits to the market today is a differentiator for Gevo. According to the reporting platform CDR FYI, focuses on the durable carbon credit removal market, approximately 38.5 million metric tons of carbon dioxide removal credits have been sold. But only 2.5% of these have actually been delivered. We think this puts Gevo in a unique position of being able to produce and deliver credits today while others are still working to activate their projects this growing global market, that we understand has a total value exceeding $10 billion. We believe the ability to detach the carbon value from the commodity fuel is unique and powerful because it allows us to serve the market more efficiently. This approach also aligns with our planned synthetic aviation fuel business. For example, the agreement we signed with Future Energy Global or FEG in April demonstrates our intentions to offer customers more choices and improve service by selling voluntary carbon credits separately from our commodity jet fuel. Since it will take time for SaaS to be available at major airports worldwide, our agreement with FEG will allow airlines and corporate customers to purchase carbon credits from FEG which have been separated from the physical fuel we produce to offset their emissions through a book and claim approach. And, of course, we believe all of this will be better enabled by Verity, our digital carbon tracking and verification platform to deliver the proof customers need while avoiding double counting. Through measuring, reporting, and producing verifiable carbon intensity, from farm to flight or fleet Verity aims to simplify carbon accounting through complex supply chains to track final fuel products, and carbon credits with the transparency, trust, and truth customers require. It's going to help us farmers, and other biofuel producers turn carbon into measurable and marketable coproduct while bringing new transparency to the low carbon fuel ecosystem. And to that point, Verity has been installed at our Gevo North Dakota facility, and we anticipate it will be fully functional by the end of the year. In addition, in Q3, Frontier Holdings LLC announced a strategic partnership with Verity and Gevo to offer North America's first integrated carbon management platform for ethanol producers. Frontier plans to deliver CO2 by rail solutions and permanent CO2 storage in Wyoming while Verity provides the digital platform for full carbon tracking. Frontier anticipates this unique combination will provide carbon management solutions to ethanol plants don't have direct access to geological storage or access to proposed CO2 pipelines. While Verity brings our carbon accounting platform to the table, to help ethanol producers monetize their carbon dioxide coproducts. We like this approach for Gevo as it could unlock new potential ATJ 30 sites that we can explore with more verified low carbon ethanol producers. And with that, I'll hand it over to Chris. Chris?
Chris Ryan: Thanks, Paul. At this time of year, the thing that takes up a lot of our attention in operations is corn harvest. At Gevo North Dakota, we're happy to have a great relationship with the farmers up there who supply us with the 23 million bushels per year corn we need to keep the plant running. This year, those farmers have done a great job turning out a record harvest in North Dakota in spite of the early frost that occurred in the western part of the state. This season is a good reminder that while weather can have a negative impact on some farmers, overall, the ag industry continues to get more crop out of the same amount of land which creates a need for new uses such as staff. Which I'll talk about in a minute. Farmers in North Dakota are nearing the end of harvest, and at Gevo, North Dakota, we're nearly full of our 3 million bushel capacity with our cash bids currently around 40 to 60¢ per bushel under the Chicago board price dependent upon delivery month. This is important for our investors to understand. The point is when thinking about making products like SAF from alcohol to jet, have a lot of low cost, low carbon, easy to handle feedstock at scale begins with our relationship with the farmers. Related to that, a few weeks ago, we had our second community event where we had nearly 100 farmers and community members spend a couple of hours with us at Gevo while we talked about our improvements at the North Dakota site and our vision for the future. The audience was very engaged and supportive, which makes our work up there much more meaningful. Moving beyond the farmers to our Gevo North Dakota operations, I'd like to acknowledge once again the great job our team is doing in maintaining, improving, and operating the assets. There. The improvements include fundamental things such as new truck scale critical for receiving corn and selling feed, improving roads to ensure safety for those farmers, and several energy efficiency improvements. The operations team successfully completed a safe turnaround of the plant in five days in September and came back online quickly. For Q3, they ground over 5 million bushels of corn, while producing and selling over 16 million gallons of fuel ethanol 46,000 tons of high protein animal feed, nearly 5 million pounds of corn oil, all while sequestering 42,000 tons of carbon dioxide which generates the carbon dioxide removal credits Paul mentioned. That brings us to over 550,000 metric tons of CO2 that's been sequestered at the site since the sequestration operation began in June 2022. That's proof that we can capture carbon reliably each and every day we operate. Which is well over 350 days a year. And remember that the captured CO2, it was it was originally pulled from the air through photosynthesis by plants. Then released during our fermentation process in nearly pure form us to sequester underground. Addition to the operations team, we have a team of engineers at Gevo engaged in engineering a number of improvements at the site along with engineering the 30 plant. Which is designed to make staff. Improvements include expanding the ethanol plant, both incremental and step change expansions, expanding corn storage and receiving, expanding our carbon sequestration and utilization, improving energy efficiency, We expect that incremental improvements to will lead to substantial increases in adjusted EBITDA at North Dakota. And the step change projects we have in mind could make it even bigger. The ATJ 30 project and expected adjusted EBITDA would be even more growth on top of it all. On the ATJ 30 project, design and engineering work are progressing well. We're leveraging our patents and know how from previous project design work to shorten our design time simplify construction, increase efficiencies, and and manage carbon. We currently estimate the installed capital cost to be around $500 million not including financing related costs. I'm happy to report that we've partnered with the state of North Dakota on a couple of our improvements, thanks to the North Dakota Department of Ag, for their generous grants of over $3 million to help us improve energy efficiency of the plant and expand infrastructure required for the ATJ 30 project. Our long term vision for the future of jet fuel plants is straightforward. Build ATJ 30 right here at Gevo North Dakota, prove it out, and then copy, edit, and paste that same blueprint across other strategic locations in The US and globally. Today, we want the site to showcase farming and carving management done right. In the future, we want ATJ 30 to showcase alcohol to jet done right. A model that can be replicated efficiently using abundant domestic feedstocks, proven carbon management systems. Behind all this progress is a talented team of operators, engineers, and community partners who make it happen every day. And, of course, we couldn't do it without the support of our farmer partners in the state of North Dakota which continues to be a terrific place to do business. Back to you, Pat.
Patrick Gruber: Thanks, Chris, Paul, and Leke. We have advanced. We've been derisking our plans to get the jet fuel production. We've known that to achieve the best economics and carbon scores for jet fuel that ethanol and the ATJ process need to be integrated And that we need a carbon sequestration to achieve our carbon footprint goals. At Lake Preston, we would have had to build all three greenfield, albeit the sequestration would have been done in cooperation with the Summit Pipeline. Well, today, we have an outstanding ethanol plant and sequestration. Great. Derisks. We make money on those assets to boot. Oh, and we get learn we get to learn how to monetize the carbon with real carbon products. Now we should maximize the adjusted EBITDA from those assets and get on with the ATJ plant. The pieces are coming together. Let's go ahead and open it up for questions. Operator?
Operator: As a reminder, if you'd like to ask a question at this time, please press wait for your name to be announced. To withdraw your question, please press 11 again. Our first question comes from Derrick Whitfield with Texas Capital.
Derrick Whitfield: Good afternoon, guys, and congrats on all of your progress over this last quarter.
Patrick Gruber: Hey, Derek. Yeah. Thank you. It's been pretty cool. Referencing slide 12, it it's clear Gevo North Dakota represents significant upside to your EBITDA projections. Maybe speaking to this slide, could you elaborate on the incremental capital and steps required to optimize your operation? And a reasonable time line to achieve a $110 million of EBITDA. Yeah. So I it's incremental capital. Incremental capital is like in that $15 million ish, plus or minus a few million. Range. That's what we think it is. It could change. And this is about debottlenecking the ethanol plant to its natural get it so can reduce maximally with what we have there. Also, optimize the energy use, the capture of more carbon dioxide, all those kinda normal things you can do. Remember, there's leverage every time we do something like that because it's produced more ethanol. You get more CO2. We can capture more CO2. We can optimize energy, capture more CO2, etcetera. And when Chris is referring to a step change, that would be adding additional ethanol capacity per se, like a whole another plant. We're gonna look at too. I just wanna have a timeline for that. So what you see on slide 12 in our investor presentation, and what, for everybody else, what Derek is referring to is that we have a net EBITDA of something like $40 million on the left side adjusted EBITDA on the left side of the slide, it's $40 million On the right side, it's plus $100 million That, say, over the next eighteen months to twenty four months, we could get up there to a $110 million. How fast we do it I don't know. It depends on how the world is working for us. We're well on the way. If anyone's paying attention, they should see this. We're well on the way to moving towards that $40 million. This is all about just doing what we're doing. And have a full year at it and getting better at it capturing, more value from the carbon. We expect our CI scores to go down in the future, so that makes more for the 45Z tax credit. We have, Paul's team is really learning how to maximize value from the carbon by selling it as a bundle with a gallon. The carbon value with a bundle as a gallon at low carbon fuel markets. We're separating the carbon and selling it separately and maximizing that value. As they learn how to do that, I expect to that they will continue to increase. But that's what I'm most keen on is watching those numbers. Around the carbon value per ton. So, we made a good move by buying this plant. There's no question. Certainly. Great acquisition for you guys, and and as my follow-up, I wanted to touch on the DOE loan extension that you guys announced few weeks ago. Could you elaborate on kind of how that extension and the scope change of scope that you guys are pursuing increases the likelihood of DOE financing. I would say well, I'm gonna I'll I'll comment first. I'm gonna hand it over to Leke to give it a little more color. From my point view, you know, whenever you have a change of administrations like this, the fact that we survive straight away, was good. I mean, that's a good thing. It says we're kind of in their in their zone of that are interesting and attractive. They have taken a long time to get leadership in place. They've been you know? And I'm talking about not at the secretary level, who's the secretary. And so it took a while for people to get into place. And musical chairs a little bit. They're getting their act together. They're they're looking at it. They see realistically what we've done, and I'm gonna reiterate this. When you compare the site that we have at, like, Crestwood, the thing is Greenfield, to taking that site and moving north, to North Dakota where we have an ethanol plant that operates and makes money, has sequestration stuff right underneath the plant, It makes money. It is a different game to play in terms of how one thinks about the possibilities of financing. Now remember, they were committed. A you know, the conditional commitment is an actual commitment. To do the financing if we do all the prerequisites and get the rest of the funding in place, etcetera. We would be surprised that they suggested they suggested shifting it up to North Dakota because we think it's a good idea too. So it was a kind of a meeting of the minds thing. So we're very pleased about that. It's just the very beginning, and we gotta go work through it. So I think if they liked it before at Lake Preston, they're gonna like it a heck of a lot better up in North Dakota because we all make more money, and it doesn't require as much external financing. The project is much smaller. Because you only have to build an ATJ increment. Plus, might have to do some energy. Does that help you?
Derrick Whitfield: It does. Thanks for the color. I'll turn it back to the operator.
Operator: Our next question comes from Amit Dayal with H. C. Wainwright.
Amit Dayal: Hey, good afternoon, guys. Thank you for taking my questions. Great to see the execution continue to come through. You know, with respect to the EBITDA drivers for next year, Can we maybe, you know, just give a little bit color on whether it's primarily gonna come from the sequestration capacity expansion or some of these, you know, debottlenecking efforts you may be implementing Just a sense of, you know, where the drivers are and how we should think about growth and cash flows for next day?
Patrick Gruber: Yes. So on Slide 12 in our presentation, on the left hand of that slide is what I think a picture of what is closer to what 2026 should look like. It's something like that. And give or take still, we're working on it. We'll finalize something after the first year is what we really think. But that's kind of the picture. And remember, we're ramping up, and so this is kind of a curve that's going upward. And so how fast is go upward? How much faster can it go upward? We know for a fact that there's gonna be improvements of carbon score in 2026. Built into the big beautiful bill. So we know we're gonna make more money at that front. And then on I think on the carbon side, and I'm gonna let Paul comment on it, in the next year to give a picture of that. Because I think that's the the one I'm keeping my eye on mostly. I wanna see that grow. It's incremental. Already, we're projecting as to what we should be able to do from where we are today and on an upward trajectory. The ethanol itself is gonna be ethanol. The RNG is gonna be replanned super conservatively on RNG. And this is simply because we're realistic on this market. It is just a tough market with, you know, in general, but our plant operates really well. So we aren't these big we aren't padding anything or being super optimistic about that, although it generates value for us. So it's good. And, hopefully, if the market turns great, it'll be a huge upside for us. We are not planning that optimistically. But, Paul, I think this question of what's the growth look like gonna rephrase yours, Amit. Paul. Give us some color on what you think you know, the dollars per ton going forward. How's it look? What's that build look like, what's in front of us, how does that pan out? Because we're doing something different than everybody else here.
Paul Bloom: Yeah. Thanks. Thanks, Pat. So just a a little more color on the carbon business. Right? As we talked about during this quarter, we're we're moving more. You see 90% of our carbon value today being sold in fuels But with, like, the BioRecord deal, we're selling much more into a separated carbon dioxide removal market. Right? These credits. And that's exciting for us because those can be like the BioRecord deal, longer term, deals in the market where we're bringing in more ratable revenue. We're not as subject to, you know, the ups and downs in the volatility that you see in low carbon fuel markets even in the low carbon fuel credit prices. So that's gonna continue to grow. That's you know, with the even with the BioRecord deal, right, we start growing into, you know, $5 million just, you know, a year down down the road with that type of a deal. And then we're gonna look to do more of those. Right? So you see this a big piece, and this is how long term we think this can start adding in this $30 million type range you know, over the next two years. Between the compliance markets and the voluntary markets as we balance that So we see where either of those markets go. But we've got a lot of flexibility That's what we like. And that's why we're continuing to do both. Right? We're putting on more pathways in the the compliance and the regulatory fuel markets where we can go after low carbon fuel, with that CCS value attached, or we can separate that out into the carbon dioxide removal market where we have that flexibility to to maximize our returns. And then I think the way to look at Slide 12 is on the right side of that. Slide is you know, a little further out, and I don't have a time frame on it per se because we could do it faster or slower depends on how projects get done. But that includes an incremental expansion of the ethanol plant taking it up to, like, 75 million gallons a year. That produced more ethanol, more CO2. So you can imagine how the numbers increase because of that because we have leverage. We're making more ethanol. We make more CO2. We generate more credits, generate more production tax credit. Etcetera. And that's why you see those numbers. So it's that's what our picture looks like. And as we work through stuff, and this is all with the the low capital version. Kind of exciting. It's a good place to be. And, ATJ is completely on top of all of that. That'd be a different spend in a different bucket, a different project.
Amit Dayal: Right. No. Makes sense, man. So it seems like, you know, expanding the ethanol capacity to 75 million gallons per year is pretty natural. I guess, in terms of how you are executing and all the other interest you have over there to, you know, be able to monetize that. What I'm trying to get at is, you know, if if you were to have to make a call between ATJ 30 and, you know, much larger expansion of the ethanol capacity would you lean more towards the ATJ 30 with or without DOE funding?
Patrick Gruber: Well, the ATJ 30 plan right now the way it pencils in with our contracts would be at a at an uplift of about $150 million a year of EBITDA. Now 45 turning back to ethanol. Ethanol the 45Z credits are they end at the end of what, 2029? So you're looking at long term plans of building new plants, what's gonna be in the money? Well, ATJ plant, a jet plant, is dependent upon the long run economics of a 45Z tax credit. Remember, our site, if we're lucky, we can take a Q too. And so we're pretty much indifferent between those two at the moment. The way that the world is structured. Remember, a queue runs out for twelve years. So we're in good shape on that kind of a front, and so we don't take it's not crucial It's we'd love to have it extended. Love to. But you know what? It'll be what it is. It's gonna compete economically, Paul, be successful, and his team will be successful selling carbon. So you know, it'll be what it is. Ethanol, if we can get it built really fast and do a, like, say, duplicate of what we currently have of capacity, how fast can we get it built, how long will the credits last really. You don't wanna be in a business of just doing ethanol. You do not wanna be in a plain old ethanol business. That's not a good business. It's too dang volatile. This is why Paul was emphasizing turning carbon into a product and selling it gets us into a ratable business. The BioRecord deal was a multiyear contract. Think of that. A multiyear contract selling carbon really. That's what we just did. We're gonna do more of that. That changes the game of what's possible and gets us out of this volatility. Over the long run. So that's how we're thinking about it. The getting to 75 million gallons is the natural expansion of what we should do in debottlenecking. There'll be other things we can do to optimize energy, lower the CI score further. We're already a very, very low CI score. And it'll go lower. As we improve. Well, after 75 million gallons, now we gotta build a brand new plant, and that's in the to do that capacity, that's in the multiple dollars per gallon. You know, two cut rounding it to $2.50 a gallon for new capacity. Once you're doing a full size plant, say 50 million gallons to 100 million gallons. It's in that kind of a range. Wallpark, So does it make sense? Under what circumstances it makes sense? Depends. So we'll sort that out later, but that's not our focus. We're gonna evaluate make sure we understand it so we can jump all over it. Make it happen. If we need to, if the right market conditions are there, But I'll tell you, first things first. Get the low hanging fruit. Get the 75 million gallons, get the credits, generate more credits, generate more revenue. Learn get better and better at selling the carbon. Remember, we have an advantage We have a sequestration site directly underneath our plant. The only ones in the world with that. We don't have all the complexities that everybody else has of you know, pipelines and sharing and all this kind of stuff. Ours is relatively straightforward, and still, it's a huge amount of work to get it audited and insured, and all the rest to generate these viable credits. So we need to need to get good at this. So we're gonna do that. Walk in before we run, expand incrementally, use our capital wisely, save our powder, we'll debottleneck, save our powder with the DOE, work work with them, get that plant financed, and the economics are good. And we will also treat then a full build out of a new ethanol plant as an opportunity to be evaluated on the market conditions as we see them and working with partners who wanna do it.
Amit Dayal: Right. Understood. How we think about this. So use what we got, maximize what we got, expand ATJ, and then sure we're not losing sight of these other opportunities. To grow because we could have them. They might be very much real. Got it. Just last one on the Verity offering. How much more development work needs to be done before you can get more aggressive towards commercializing that offering?
Paul Bloom: Paul, go ahead, man. So I want to Yeah. So I I think we're we're getting to that point right now. Amit. So this is what you know, I was talking about getting this implemented at at Gevo North Dakota is a critical step for us. I mean, we've we've already got it in implemented with other customers, but having it running in our own we'll be able to show, you know, even other Verity potential customers say, hey. Come look at it. Right? Stop by our plant. See how we're using it. See how it simplifies your life, how it makes everything better, totals up all your carbon. For voluntary markets, for compliance markets, for tax credits. Right? It's it's really a simplification tool. And and so we think that you know, we're really nearing that point, right, where we can now scale this just like Chris was talking about, ATJ 30 to do the the copy edit paste. I mean, this is where we can start to do the the copy, edit, paste for for Verity really, more broadly with biofuel producers. So we're in a we're in a really good spot.
Amit Dayal: Yeah. Interesting. I think this is gonna be a really interesting catalyst. Well, here's here's and here's for everyone's perspective, there's everyone and their brother is going, hi. We know how to count carbon. We know how to you know, measure CI, all this. No. You actually don't. It's actually kinda complicated. And you gotta keep track of heck a lot of stuff. There's simple know, on the Internet, you can find air and you do everyone does their chat GPT version. Sorry. To get a product that someone buys and transfers money, actual cash, the barrelhead to pay you for something, that takes a whole lot more diligence to make sure it's right and have multiple parties auditing it. In our case, you heard, you know, Nikki talk about getting insured. How does that work, you know, in in getting that system operating well, working well. And then with Verity, that offers a whole new level of assurance and gets it tracking it back to farm by farm, field by field. Integrating the plant in its energy and giving you even a stronger score that can be verified and audited. This is the important part. Auditing throughout the whole supply chain. That's why we can get paid now That's why we will get paid in the future and why Verity is important because we can take that technology and use it as a service and get paid with other plants. That's why it's important and why it's interesting. We're doing an end to end solution. Other people aren't. They're doing pieces and parts and using their equivalent of Internet says we're not doing that.
Amit Dayal: That's all I've missed. Thank you so much for all the color. Appreciate it.
Operator: Our next question comes from Craig Irwin with Roth Capital Partners.
Craig Irwin: Hey, Craig. Hey, Pat. Good evening, everyone. Thank you for taking my questions. Pat, can you maybe update us on the conversations with potential customers that could be using your well in Richardson to sequester their carbon? You know, these I guess, that would be tolling customers or, you know, customers where you provide the service for them. I mean, where do you stand with those those potential incremental additions to the the overall profitability?
Patrick Gruber: Yeah. So I'm gonna restate your question. So we have this big site. Our capacity is million tons per year. We're currently only using, six about 16, 17% of that well. We should use more of it. And so Craig is right. We should use more of it. Paul? What's the plan?
Paul Bloom: So, Craig, you know, couple couple things. One, as we expand our our footprint there and and make more fuel, we'll have more CO2 to sequester So that's that's one. Step one. Right? So that can we love that because we don't have to go anywhere else. We've already got the capacity. The second part is, you know, think about a complex. When when we're thinking about Gevo North Dakota, we're also thinking about what energy source we need, all the different stuff that we have to put in place. To really build out the the 30 plant, but hey, it could be other partners as well. So we are looking and have ongoing discussions today with other companies that would maybe wanna co locate with us and take advantage of some of that sequestration wells. So we could be storing CO2 for others, and, you know, obviously getting fees for that, helping them sell their carbon credits, all those type of things. And so we're we're pretty excited about that. And then just like this this deal where Frontier is looking at you know, taking CO2 by rail to North Dakota there's always options like that. We think we talked about on one of our earlier calls around looking at how can we take more CO2 in kind of virtual pipelines style, those are things that we're contemplating. Today. We don't have any concrete plans, but all of that coupled helps to use that capacity that we've already invested in. So it's really about how do we harvest that value from the investment that we already made with this great purchase at Gevo North Dakota because of that extra pore space that if we use it ourselves, use it for third parties, absolutely.
Patrick Gruber: Yeah. So amplifying what Paul said, this thing about the virtual pipeline, what that means is taking CO2 at rail. That's how CO2 is transported. Has been transported forever. And, we could do that. The deal with Frontier contemplates that and tracking it, tracing it, the deal We we had a a rail terminal for example, and we can offload CO2 and put it down the hole for others. It that that also accomplishes yet another thing, I think, that in in a few years' time, call it, in the five year time frame, you know, the Bakken's gonna need more CO2. And, you know, great. Maybe there'll be a market for enhanced oil recovery CO2. So I think the world at large in that area is gonna be interested in CO2 collection. Sourcing treating CO2 as a product, great. People wanted to put it down a hole. Awesome. We can get paid for that. Cool. Get more credits for that. Great. Or sell it to somebody else. So it's a paradigm shift, and that CO2 is a product, should be valued, should be collected, and utilized. So we have to put those plans together, but that's part of what we're working on and figuring out. That kind of incremental expansion is not included on our slide 12 that we referred to earlier It's not part of that. That would be on top of it. That's gravy on top of what you see there.
Craig Irwin: Understood. Understood. So then, actually, I wanted to go back a little bit of the content on your slide 12. The CI the incremental CI improvement that you you guys are tracking for over the next number of quarters, how should we go about projecting that or forecasting that from our side it ends up having a fairly material impact on on the overall level of profitability. And is this something that we should we should parse the the capital plan and and and the different pieces of of your capital plan that are likely to be completed on, you know, on a finite time horizon or what should we do to kinda to kinda understand and maybe be a little bit ahead of the curve as as we see the CI CI score improvements over the next couple of I think, Leke, you can help with this one. But there's basically and the big, beautiful bill, the CI score drops automatically next year. That's a large part of it. And, so go ahead and give that some color, like, hey. Then we'll come back to
Oluwagbemileke Agiri: Thanks, Pat. So high level, I think Pat already sort of touched on it. In the big beautiful bill, the no eye look that reduces RCI score. By a tangible amount, which effectively increases our fortified degeneration by another 10¢ per gallon. And then the last bit of the puzzle, which for us we're working on is are there other decarbonization measures that we can introduce to our facility to effectively be able to get another 10¢ per gallon increase in credit generation. So the $52 million tax credits that we sold this year from Gevo North Dakota, I think folks can easily do the math based on our ownership of the asset for eleven months. Out of twelve months. That number rounds up to about call it, 80¢ per gallon of credit generation. So next year, we are working actively with the no eye look and the other decarbonization strategies hoping to be closer to a dollar per gallon. And keep in mind, production tax credit is also subject to inflation. And those annual inflation, for example, this year, that's released by the IRS, was around 6.6% and some change. Maybe inflation is not going to be that high next year. But you have to factor that into your math as well. So next year, we're we're gonna have tangible increase in that 45Z generation from where we are today. Does that help? Yeah.
Craig Irwin: That definitely helps. That definitely helps. Well, that's also gonna help your cash flow. So, you know, congratulations on the progress.
Patrick Gruber: You know, it's it's an interesting game, isn't it, Craig? I mean, it's like a the world, we did good. Our timing was good, and we're learning how to sell the car. Being having a real carbon product to figure out a real tangible thing where it's actual tons. Then what does it mean in terms of CI score? How do you monetize tax credits? One of the things that's different from what we're doing from what I think everyone else is doing, we're selling them directly. Directly. Lakegate's team has done an outstanding job of interfacing directly with the purchasers of these carbon credits. We aren't going to a broker where the broker has to go figure it out later. Our stuff is done from based on real CI scores audited by multiple parties, stuff that's based on carbon that's gone down a hole. And and then Lakegate's been able to strike really good deals getting good value. When he says remember, it's a 67 million gallon plant. He's talking about a dollar a gallon. The maximum value you can get is about a dollar a gallon from the 45Z. So we are one of the lowest CI score plants under the 45Z big billable bill. And it looks like we're in a really good position. That's awesome thing. And this is before we've done anything around decarbonization of the energy at the plant. It's just that it's a very efficient plant. It is not taking into account agricultural practices like so many people talk about. It's not taking that into account. It's just well run. A great sequestration plant. We're good our team is good at capturing carbon, putting it down a hole.
Craig Irwin: So may maybe I can ask another question. Right? Red Trail, what did they do right on the commissioning of their well? You know, there's another well that was supposed to be testing, maybe commissioned. You know, it's another class six well for I guess, the third guy that's supposed to be on, but they've been late. And they're not eager to confirm that there's a ribbon cutting on Wednesday. Right? You guys have brought up your wealth, generated credits consistently off it. And, you know, obviously, had pretty clean execution. What did Gevo really do? What what did Redtail really do right, the team at Gevo now? That that that allows you to execute consistently? Yeah. Chris, would you wanna go ahead and explain this?
Chris Ryan: Yeah. Go ahead and explain this because it's a fascinating story. Well, okay. Let me tell you that it starts with the former CEO of Red Trail, guy by the name of Gerald Bachmeyer, who, really led that And he earlier in his career, he did oil. And, was involved in drilling. So he I I would argue he knew how to pick the right contractors to do the work. And they really focused on doing good quality execution because, you know, the guys that ran that plant, including Gerald, were were boots on the ground, you know, get her done guys that know how to get things done. And know how to get things done well. And so that's really the nation that really led to doing that, doing that well. So so what you got here is, remember up in that area, you got farmers and farm remember, retro was a co op, big giant co op, 90 900 plus members. But corn guys or oil guys and vice versa out there, And so it's this very it's actually a wonderful place for to have a plant like this where you're trying to work with the petrochemical industry. And the guys are big farmers anyway, and so everybody cooperates. And so they have a lot of expertise about how to drill wells. That's what Gerald was about and knowing how to do it. And he definitely had his own way of going about it that was different than what was being sold to others. That I've been told over and over again, and I believe it to be true. And so that's why I think we didn't have the problems that other people have seen.
Craig Irwin: Understood. Well, we don't have to to talk about those problems. I will say congratulations for your success. And and thanks again for thanks for taking my questions.
Patrick Gruber: Course.
Operator: As a reminder, if you'd like to ask a at this time, please press 11 on your touch tone phone. Our next question comes from Peter Gastric with Water Tower Research.
Peter Gastreich: Hi. Congratulations on your results, and thanks for taking my my questions. The the partnership that you've discussed with Frontier, it's certainly very It looks like it presents a a lot of opportunities for you. You know, some of the pipeline has obviously been very, very quiet. Just curious you know, if we look at Frontier, entering this market, are they coming in as a potential competitor here to Summit, or should we think of Frontier more as being complementary and maybe focusing on the ethanol plants that are not you know, on that pipeline route? Like, how should we think about this this this entry into the the market Paul, go ahead and take that on, please.
Paul Bloom: Yeah, Peter. No. Good great question. You know, I think it's if you look at what we had in or Frontier really had in the announcement, you know, they talk a lot about how many plants are kinda stranded. They don't have access to geological sequestration They don't have access to pipelines today. So I think that's really the the first and foremost market because like Pat said, you know, CO2 is transported by rail all the time. So this gives those plants that optionality. And, basically, so now you know, you think about you either have the right geology You may have access to a pipeline. Or if you don't, now you've got a real opportunity to to go to a sequestration site. Like what have in Wyoming and we have in in North Dakota. Okay. Got it. Thank you. Just a second question. About overseas markets. Could you talk a bit more about the agreement that you've entered with Hausch in Europe with and the ethanol to jet facilities? With the SAP feedstock restrictions in Europe, what's the strategy there? And, also, just curious broadly, your traction overseas markets and where you see the best prospects there. Paul, go ahead and take that one again.
Paul Bloom: Yeah. Sure. How how should the interesting company that we really have enjoyed working with And, you know, they've got a a good focus. They're a hydrogen company fundamentally, and and you know, so as we're trying to find the right combination of sites and feedstocks, we think we've got a good partner. We When we think about the feedstock, right, there are limitations. So we do need to think about Refuel EU doesn't allow corn ethanol, crop based fuels to qualify. So we are looking at sources carbohydrate sources still for for ethanol, obviously. But could they come from waste and residue type feedstocks that that will qualify for those markets. So that's that's kinda where we're focused. Those exist We have a whole team that that's taking a look at that. And then the really comes down to what are the economics, the the netbacks from from Europe versus North America. But like Chris said, we really see ATJ thirty as a as a global business. So even not just Europe, this is, like, where can we find the right carbohydrate feedstock We ethanol is ubiquitous. And so it's really about how do we have a plan and then have the right partners in those geographies that we can execute.
Peter Gastreich: Okay. That's great. Thank you very much, and, congrats again to the team.
Paul Bloom: Thanks.
Operator: That concludes today's question and answer session. I'd like to turn the call back to Patrick Gruber for closing remarks.
Patrick Gruber: Yeah. One of the interesting things if, I would encourage people to take a look at the growth of the jet fuel demand out to the future. It's quite interesting in that continuing to increase here in The US and around world. Refining capacity, however, is not increasing. Not here in The US. In fact, it's decreasing. There's only a finite amount of jet fuel in a barrel. This means that there's going to be a shortage of jet fuel here in The US, a shortage, incremental shortage. But it adds up to big numbers, about 2.4 billion gallons a year by about 2024 of and we have to do something different. Bring it in, import it, or make it through alternative sources. You'll find that if anyone does start searching and looking at this, you'll find that the world predicts that everything is gonna be fulfilled with SaaS. And I and SAF you know, of course, is jet fuel plus it's carbon. But think of it as just jet fuel. And the question is, will all that get built really? And you look at these projections, and it's already behind schedule everywhere in the world. You know what that means? Jet fuel price is likely to go up and likely with The US, we'll have to import more jet fuel. With this administration, they're not big on importing products. And we can make them domestically. Remember our premise. We can because we get netbacks, of value from the coproduct of carbon, because we get netbacks from protein, and the oil, the corn oil. We can deliver cost competitive jet fuel to the marketplace. Cost competitive with petrol. Pretty fascinating. 2.4 billion gallons, remember, is more like 70 plants needed in The US over the next decade. Well, that's a target rich environment. That's what we're looking at here. That's what makes it interesting and why we don't lose track of those ATJ plants. Can use more ethanol. We can use more corn. And it makes huge huge job growth. It improves energy security. It's a good overall practical story of doing cost competitive energy delivered to the marketplace. As an alternative. And do I think that we'll wind up building 70 plants? No. That's not the ethanol industry did it when they blew when they when them went big, when ethanol did their boom between, what, 2007, 2012. They did more than that. So it's possible to do. But for us, realistically, no. I'll just take a bite of that, though. That would be great. And then we can do the same thing around world. That's what's in front of us. We got a great platform, Gevo North Dakota. Acquisition turned out better than we ever expected. We have cash flow coming It's good to see. We can expand it. And then we have this huge opportunity and platform along with all of our intellectual property and designs around the jet. One of the last comment around the ATJ that I'll mention because I think it's relevant to the questions that we get in the marketplace, is that in technology readiness sense, every single step that we're planning on deploying at our at ATJ thirty, every one of them is proven proven commercially already in this world. Technology ready level as nine. For all the steps. That's different than anyone else's ATJ technology. Thank you all for joining us. I appreciate it. For all your support. I'm proud of my team. Proud of what we've done. Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.